Operator: Thank you for standing by, and welcome to the micromobility.com Inc. Second Quarter 2023 Earnings Conference Call. As a reminder, today's program will be recorded. [Operator Instructions] I'd like to introduce your host for today's call, Gary Dvorchak, Managing Director with The Blueshirt Group. Mr. Dvorchak, please go ahead.
Gary Dvorchak: Thank you, operator, and hello, everyone. Welcome to micromobility.com Inc. Second Quarter 2023 Results Conference Call. Earlier today, we issued our financial results press release. It's available via Newswire and on our website at ir.micromobility.com. A replay of this conference call will be available later today on the Investor Relations page of our website. With us today are our Founder and Chief Executive Officer, Salvatore Palella; Chief Financial Officer, Giulio Profumo. The team will review results for the second quarter and first half of 2023. Please note that our press release and this conference call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only predictions and may differ materially from actual future events or results due to a variety of factors. micromobility.com can give no assurance that these statements will prove to be correct. We have no obligation to update these statements. I will now turn the call over to Salvatore to begin. Salvatore?
Salvatore Palella: Thank you, Gary, and good day, everyone. Thank you for joining us to review our business performance and financial results for Q2 and first half of 2023. I will kick things off by highlighting our recent status and followed by our CFO, Giulio, who will break down the financial side of things. In the first half of this year, we achieved top line nearly in line with last year, while maintaining operating efficiency and generating net profit. This showcases the remarkable resilience and advancement of our business model. We have also been collaborating closely with the market integrity monitors, like Share Intel and BUYINS.NET, and we transition into Phase 2 of our investigation into trading imbalance. This decision was prompted by the consistent imbalance by substantial short interest observed in our stock. With our primary focus set on profitability and our competitivity in micromobility, we have continued to pursue our cost optimization strategy. During the second quarter, we strategically exited certain unprofitable markets, reallocating our resources to concentrate on the micromobility sector. We conducted through assessment of a regulatory environment, prioritize sustainability and efficiency. As a result, we have significantly bolstered our financial position. Furthermore, we made the strategic choice to exit the streaming business, recently announcing the discontinuation of the streaming contract for the third season 2023, 2024 legally and internationally. This strategy will align well with our overreaching goal mentioned earlier. Importantly, our rebrand core business in micromobility has yielded positive results since it launched at the end of the first quarter. Our first flagship store in SoHo, New York City is going to open right after Labor Day. Turning to our fleet expansion effort, we have achieved notable milestone. In the U.S., we secured and extend permit in Austin during the second quarter, and we expanded separate in Boston. Our reach assets turned to Malta, making our first expansion into Europe following the acquisition. Additionally, our habits brand introduced a taxi service in Milan, Rome, Turin and Naples, providing local residents with a more convenient and seamless public transportation option. Furthermore, our focus on nonstop information and optimization of our app and customer experience are yielding remarkable progress. We recently launched the Wheels 2.0 app on both Apple Store and Google Store. This updated app tend to inch the user experience within the dynamic micromobility sector. Notable long-term driver rental and business leasing are now accessible through the Helbiz application in several North American cities, making sure that Wheels is even more accessible. In summary, we made remarkable strides toward our strategy objection despite the dynamic environment for micromobility in Q2. Continuous adjustment to operations have strengthened mobilities rules and pilot revenue drive. Our pursuit of financial sustainability, achieve financial sustainability is driving ambition expand plans, including M&A exploration as well as the high anticipated introducing of our flagship store in SoHo retailer. Now I will turn the call over to Giulio Profumo, our Chief Financial Officer. Giulio will go over our financial performance. Giulio?
Giulio Profumo: Thank you, Salvatore. Our detailed financials can be found in our earnings release and 10-Q filing, so we will concentrate on discussing the drivers of financial performance. Keep in mind that all figures given are for the second quarter of 2023, and all comparisons are with the quarter of 2022, unless I note otherwise. The first half revenue remained steady at $7.4 million, aligning with the year-over-year revenue. In the second quarter, our revenue reached $3.5 million, primarily driven by robust contributions from the mobility sector, followed closely by media. Notably, the Kitchen segment displayed a robust growth trajectory, marked by substantial revenue surges in both the second quarter and the overall first half. Regarding Mobility revenue sources, our primary strength lies in the dominance of our resilient pay per ride and subscription offering accounting for 82% and 15%, respectively. Excluding vehicle deposit write-off, the cost of Mobility revenue demonstrated in present quarterly a year-over-year reduction of 17% and 9%, respectively. Trips experienced a reduction of 21% from the previous quarter. However, there was a noteworthy 18% surge in quarterly active platform users during the same interval. The decline in year-over-year trips and quarterly active passenger can be attributed to our strategic decision to fully exit unprofitable markets. Despite these challenges, we managed to maintain a steady first half Mobility revenue. During the first half, Media revenues saw a notable 15% decrease, yet its cost of revenue held a significant share of the total cost. As a reminder, we terminated the main contracts of streaming the third season of 2023, 2024 of League Serie B. This strategic shift is projected to yield cost saving exceeding EUR 14 million, bolstering our overall company level profitability in the long run. In terms of operational expenses, we achieved a noteworthy reduction of approximately 6%, excluding asset impairment. This outcome stems from the successful implementation of our ongoing cost optimization strategy, which led to significant decrease in sales and marketing and general and administrative expenses by 73% and 19%, respectively, although a $16 million asset impairment factor in total operating expenses rose by 73%. As we move forward, we will continue to strengthen our presence in key markets within our Mobility business segment, while also evaluating the potential for divestments in the Media and Kitchen segment. Our primary focus remains on progressing towards financial sustainability. As we navigate through the remainder of 2023, we intend to support our operational expansion to additional debt and equity finances as required. Turning our attention to the balance sheet, financial liabilities experienced an impressive reduction of 21%, reflecting a substantial decrease in our standing financial commitments. With regard to the progress of trading imbalances investigation, our stock exhibits some consistent imbalances and significant short interest when compared to the average trading volume. These imbalances have proved to be notably significant. In April, we announced to move to Phase 2 of the trading imbalances investigation. To sum up, we extend our gratitude to our support of shareholders during this period of adjustment and remain resolute in our pursuit of achieving bottom line profitability through cost saving measures, adoption of innovative technologies and a strategic outlook involved with potential mergers and acquisitions. We hold a strong belief in our capacity to ensure enduring growth moving forward. Let me give the call back to Salvatore to wrap up. Salvatore?
Salvatore Palella: Thank you, Giulio. Before to wrap up the call, I want to take a moment to express our sincere gratitude on behalf of the entire company for the support of our shareholders. We are firmly committed to expansion our business through well planned initiatives, streamline operation and creative approaches. In spite of the environment we face, we have sustained a varying progress in our earnings while conducting this mission of operational through high efficiency and strategic measures. We will persistently pursue these actions to increase our financial performance and force enduring value for our shareholders. This concludes today's conference call. Thank you for your participation, and you may now disconnect. Thank you.
Operator: